Operator: Good day, ladies and gentlemen, and welcome to the Tandy Leather Factory First Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to Shannon Greene. Ma'am, you may begin. 
Shannon Greene: Thank you. Good afternoon, everyone, and thank you for joining us for our first quarter 2014 earnings conference call. I am Shannon Greene, Chief Financial Officer of Tandy Leather Factory. Joining me on today's call is Jon Thompson, our Chief Executive Officer; and Mark Angus, our Senior Vice President. 
 Before we begin, I call your attention to the fact that these conversations will contain forward-looking statements to the extent we speak today of any future event or make other forward-looking statements. You are reminded that the inherent uncertainties of looking into the future that there are risks to Tandy Leather Factory that could prevent these events from occurring in a manner foreseen. Please see our Form 10-K for 2013 and subsequent forms 10-Q for a discussion of some of these risks. Copies of these documents are available to the SEC's EDGAR system and from our Investor Relations office. Also, statements made today by us as management of Tandy Leather Factory are made as of this moment, and we disclaim any duty to the update of those statements. 
 We are pleased with our first quarter results, having achieved a solid sales gain and an even better earnings increase. Gross margin improved nicely, up 200 basis points this quarter compared to last year's first quarter. Operating expenses increased $439,000, slightly ahead of sales growth. We ended the quarter with almost $9 million in cash, after paying $2 million in store manager bonuses during the first quarter and increasing inventory by $4 million.
 Now for the numbers from today's press release. Our first quarter consolidated sales increased 3% over 2013's first quarter sales. The current quarter sales totaled $19.8 million compared to last year's first quarter sales of $19.2 million. 
 Wholesale Leathercraft posted a 1% sales increase, reporting sales of $6.8 million this quarter compared to $6.7 million in last year's first quarter. The same stores posted a 1% sales gain, and the National Account group posted a 20% sales gain. While that percentage sounds dramatic, keep in mind that National Account sales this year totaled only $342,000 compared to the $6.5 million in sales to the stores, so the sales impact up or down is minimal in terms of dollars. 
 Our Retail Leathercraft division reported a 3% sales increase, reporting sales of $12 million this quarter versus $11.6 million in the same quarter last year. The same stores posted a 2% sales gain, and the 4 new stores added sales of $346,000 this quarter.
 International Leathercraft posted a 12% sales increase, reporting sales of $1 million this quarter compared to $948,000 in the first quarter of 2013. All 3 stores are now considered same stores, as they all have been open for more than 1 full year now. 
 Consolidated gross profit margin for the quarter was 64.1%, an increase from last year's first quarter gross profit margin of 62%. Wholesale Leathercraft's gross profit margin increased from 61.9% last year to 66.4% this year. Retail Leathercraft's gross profit margin improved from 62% last year to 62.7% this year. And International Leathercraft's gross profit margin improved from 63.7% last year to 64.9% this year.
 Consolidated operating expenses were $9.7 million or 49.1% of sales in the current quarter compared to $9.3 million or 48.4% of sales last year. Wholesale Leathercraft reported operating expenses totaling 46.3% of its sales, slightly lower than last year's percentage of 46.8%. Retail Leathercraft reported operating expenses totaling 50.4% of its sales this year compared to 46.8% of its sales last year. International Leathercraft reported operating expenses totaling 53.5% of its sales, a slight improvement from last year's percentage of 53.9%. Employee compensation was the primary contributor to the consolidated operating expense increase this quarter, followed by travel, rent and utilities expense.
 Our consolidated operating expenses increased $439,000 in the first quarter compared to the same quarter last year. $150,000 of the increase was in employee comp, travel expenses increased $140,000, and rent and utilities expense increased $105,000. A portion of the expense increase is due to the existence of the 4 new stores this year that didn't exist last year. 
 Income from operations was $3 million for the quarter, up 13% compared to operating income of $2.6 million in the first quarter 2013. 
 Looking at our balance sheet. At March 31, compared to December 31, 2013, total assets increased by $2.2 million. Current assets increased by $2 million. Cash declined $2.1 million to $8.9 million. $2 million was paid out in store manager bonuses in March. Accounts receivable increased $124,000, while inventory increased $4.2 million. Current liabilities increased $597,000, due primarily to the increase in accounts payable of 100 -- of $843,000, partially offset by the decrease in accrued expenses of $600,000 compared to year-end 2013. The increase in accounts payable is due to the increase in inventory. The decrease in accrued expenses is due primarily to the payment of the store manager bonuses during the quarter. 
 Our bank debt consists of one term note on our building, the current balance of $2.5 million, and we're paying down the debt in accordance with the term of the note. We paid an extra $250,000 on the balance at the end of April without incurring a prepayment penalty. We will have that opportunity each April and intend to take advantage of it in order to reduce the balance owed as quickly as possible. The note expires in April 2018. Our current ratio is 4.9. EBITDA for the first quarter of 2014 was $3.3 million. Trailing 12 months of EBITDA was $12.9 million. There are 2 Tandy stores with operating losses as of the end of March totaling $48,000. They are 2 of the stores opened since November. That means that the other 2 new stores are profitable already, which is great. The same store is not profitable yet, reporting an operating loss of $16,000 as of the end of March. Same operating loss at end of the first quarter last year was $193,000, so its performance is improving, albeit slowly. All of the Leather Factory stores are profitable as of March 31, as are the U.K. and Australia stores.
 To summarize, we are generally pleased with our performance in this first quarter. Our sales are slightly behind our internal targets, but our earnings are ahead of those targets. Inventory has increased to $30 million, which is exactly what we discussed in our last earnings conference call. We are not increasing the number of SKUs in our line but rather are adding some higher-quality leathers and tools, which results in a larger investment overall and will hopefully translate to stronger sales. Our plans for the 2014 store openings are to open a total of 2 to 3 stores in the U.S., and we have already opened 1 in February. In addition, we will continue to expand the size of our existing stores by moving them into new locations. We want to get away from the 1,500- to 2,000-square-foot space and get into the 5,000-square-foot space or larger, depending on the local market. At last count, we still have 35 to 40 stores that could be moved. The timing depends on the current lease expiration date and acceptable space at rent rates that we are willing to pay. Our best estimate, given what we know right now, is that it could be another 4 to 5 years before we get those 35 to 40 stores moved into a space that we like. 
 That concludes our prepared remarks. Operator, we're now ready to take questions. 
Operator: [Operator Instructions] Our first question is from Allen Kaplan [ph], a private investor. 
Unknown Attendee: I noticed that the operating profit quarter-over-quarter for your retail stores went down. Am I reading that correctly? And if so, what is the explanation? 
Shannon Greene: Yes, it is attributable to the new stores that exist now, but it didn't exist a year ago. Their sales, while looking pretty good, are not ramped up to match their expenses yet, so that's -- we have 4 stores that exist now that didn't exist a year ago, and that's primarily it; some increase in advertising expenses; and overall, in all the stores, all the managers got raises in 2014 of their base salaries, which is part of the explanation on the increase on a -- increase in employee comp. 
Operator: Our next question is from Xavier Renauer, a private investor. 
Unknown Attendee: So my first question is just about the comp of the international store managers. So could you just give me some color on that about the flick? 
Shannon Greene: They are slightly higher than the U.S. equivalent simply because of the market, but not substantially, though. 
Unknown Attendee: But is the structure the same, kind of the same 25% of store operating profit and the base salary? 
Shannon Greene: No, the -- it's not 25%. It is 5% to 10%. 
Unknown Attendee: 5% to 10%, okay. And in terms of the U.S. wholesale stores, I was actually just curious if that's the same as the U.S. retail stores. Is that also 25%? 
Shannon Greene: Yes. 
Unknown Attendee: Or is it -- yes, yes, okay. 
Shannon Greene: Our Canada stores are at base salary plus 25% of the operating profit of their store. 
Unknown Attendee: Right, okay. And then my second question is just, well, I've read in some leathercrafting forums that a number of your senior store managers were let go in recent past. So I was just wondering if you could, one, confirm that; and two is what the rationale behind that move is, considering that you always say that the knowledge of the store managers, they're kind of your most important assets. So just some more color on that would be appreciated. 
Shannon Greene: Say the beginning part again. You read something about what? 
Unknown Attendee: Well, I've said in some leathercrafting forums that a number of your senior store managers were let go in the recent past, so just some more color on that, if possible, would be good. 
Shannon Greene: I don't know that that's necessarily true, but I can't really comment on that. We don't get into internal personnel issue publicly. 
Unknown Attendee: Can you still hear me? 
Shannon Greene: I'm sorry? 
Operator: [Operator Instructions] Our next question comes from Ram Vendra [ph], a private investor. 
Unknown Attendee: I was just looking for an update on the U.K. store. Are there any plans to open any satellite stores there soon? Is the main obstacle still the fact that you can't find anything attractive rent-wise or -- just an update on that? 
Jon Thompson: I said that we're still interested in, obviously, opening overseas. We just don't have anything on the time table for it. We've put in a regional manager for overseas, and we've been trying to focus, really, on doing a lot more shows. We recently bought a vehicle, where we could transport merchandise, different shows in Europe. So we're just really trying to look at that for now. But no, there's not really anything holding us back. But eventually, we'll try and get something opened, but we just don't have a time table on it. 
Unknown Attendee: Okay. And then one other question. So what exactly do you think is the problem with the same store? I know it's -- the comps are a bit better, but why is it struggling as much as it is, considering it's your only store in the country? 
Jon Thompson: Yes. Like I said, again, having a store that has to start from scratch like it did, I don't think it's really any different than a lot of our stores here. They -- that store did not get a lot of the dealership business that we gave to the U.K. when the U.K. opened. The same stores had to create all of its business from scratch, whereas they got all of our existing customers that we had, that we used to sell from the United States, so they kind of got an unfair advantage. And we did not switch any of that business to Spain when they opened. [indiscernible] a bit about that because they really created all of their own business and pretty much all of it is in Spain. 
Unknown Attendee: Right. And so that would've been the same for Australia also? They would've got that dealer business initially to kind of... 
Jon Thompson: Yes, they took over all of our existing dealers that we used to sell from the United States. 
Operator: I'm showing no further questions at this time. I would like to turn the conference back over to Shannon Greene for closing remarks. 
Shannon Greene: Thank you. I appreciate your time today. I would also like to remind everyone that our 2014 Annual Meeting of Stockholders is to be held on June 9 at our offices here in Fort Worth. Please consider yourselves personally invited. On behalf of Jon Thompson, Mark Angus and the entire company, thank you for your participation in today's call, and have a good afternoon. 
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and have a nice day.